Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Cabot Corporation Earnings Conference Call. My name is Jonathan, and I am your operator for today. At this time, all participants are in a listen-only mode. After the prepared remarks, we will be hosting a Q&A session. (Operator Instructions) And as a reminder, this conference call is being recorded for replay purposes. At this time, I’d like to hand the call off to Ms. Erica McLaughlin, Director of Investor Relations. You may proceed, ma’am.
Erica McLaughlin: Thank you. Good afternoon. I would like to welcome you to the Cabot Corporation earnings teleconference. Here this afternoon are Patrick Prevost, Cabot’s President and CEO; Eddie Cordeiro, Cabot’s Chief Financial Officer; Dave Miller, General Manager of the Core Segment; Sean Keohane, General Manager of the Performance Segment; Fred von Gottberg, General Manager of the New Business Segment; Jim Kelly, Corporate Controller; and Brian Berube, General Counsel. Last night we released results for our fourth quarter and full fiscal year 2011, copies of which are posted in the Investor Relations section of our website. For those on our mailing list, you received the press release either by e-mail or fax. If you are not on our mailing list and are interested in receiving this information in the future, please contact Investor Relations. The slide deck that accompanies this call is also available in the Investor Relations portion of our website, and will be available in conjunction with the replay of the call. I will remind you that our conversation today will include forward-looking statements which are subject to risks and uncertainties, and Cabot’s actual results may differ materially from those expressed in the forward-looking statements. A list of factors that could affect Cabot’s actual results can be found in the press release we issued last night, and are discussed more fully in the reports we filed with the Securities and Exchange Commission, particularly in our last Annual Report on Form 10-K. These filings can be found in the Investor Relations portion of our website. I will now turn the call over to Patrick Prevost, who will discuss the key highlights of the Company’s performance. Eddie Cordeiro will review the business segment and corporate financial details. Following this, Patrick will provide closing comments and open the floor to questions. Patrick?
Patrick M. Prevost: Thank you, Erica and good afternoon, ladies and gentlemen. As we close out our fiscal year 2011, we're pleased with the level of performance displayed as well as with our accomplishments. First of all, we achieved the second straight year of robust results with $3 of adjusted earnings per share and 16% adjusted return on invested capital, and this confirms the new level of earnings for the company. We achieved these targets through margin improvements, the introduction of new products, and successful business development efforts. We've been working on these areas for a few years now and if I look at our progress in profit for metric ton since 2008, we increased by 43% in Rubber Blacks and 11% in the Performance Segment. In addition, we have more than doubled our revenue and improved our EBIT by over $35 million in the new business segment over that same time period. Second, excluding Supermetals, our assets resulted in an impressive segment earnings increase of $40 million over 2010. Now this represents a 32% improvement in Rubber Blacks and a 12% improvement in the Performance Segment. Thirdly, during 2011, we announced a number of capacity expansions in carbon black in masterbatch, fumed silica and Inkjet Colorants, which will support our future growth. Fourthly, we also upgraded our Global ERP system and established in Europe, Middle East and Africa headquarters in Switzerland. Additionally, we chose to close our Italian masterbatch plant in Grigno. And then, finally, we set new targets for ourselves. With $4.50 in adjusted earnings per share, in 2014, all of that while maintaining return on invested capital in excess of 13%. These accomplishments are reflection of our continued efforts to execute our vision, which is to deliver earnings growth through leadership and performance materials. The execution of our strategy is what has allowed us to deliver these strong results. Our strategic focus on margin improvement continues to be a critical driver of our strong financial performance. We have been very successful at increasing our profitability by expanding unit margins across our portfolio. We continue to implement our value pricing concepts across the segments and we focus our efforts on higher margin products. We work closely with our customers to ensure that they have a clear connection between the value provided and the prices they pay. In addition, our energy recovery and [newer] technology investments are also contributing to our results in the form of lower cost. In fiscal 2011, we invested in capacity expansions in order to deliver volume and earning growths in the future. This work will start paying off in 2012 as we have a number of new installations that have been already commissioned or expected to come online in the near future. These include our new masterbatch plant in Tianjin, China, which was commissioned during the fourth quarter of the last fiscal year. Our new fumed silica expansion in Jiangxi, China, our Indonesia Rubber Blacks capacity expansion, and a new line of our Inkjet Colorants capacity here in the US. All of those are planned to start up at some time in the first fiscal quarter of 2012. Our innovation culture and technical capabilities allow us to introduce new products on a regular basis. And it ensures that we’re meeting the changing needs of our customers. This can be seen through the revenue growth in our new business segment, which has grown to a $117 million in fiscal 2011. We made notable progress with growth in inkjet sales into commercial printing application and our average out partners have launched new products containing Cabot material. The segment now also includes our CEC business, which continues to reach key milestones during fiscal 2011. We made this change to enable the business, to have stronger focus on growth in non-tire applications such as mining, military and other industrial rubber products. At the turn of the year, we also decided to reorganize the new business segment to include not only CEC, but also to remove corporate business development cost, so that the segment continued to focus on generating profitable growth. We acted on the portfolio management lever this year as well, when we announced the planned divestiture of our Supermetals business. I believe this strengthens our company, because we will eliminate the cyclicality that this business have historically brought to us. It also helps us focus our resources on our remaining specialty chemicals business portfolio, and provides us with additional cash for strategic acquisitions. When we evaluate any potential acquisition, we’ll first ensure that there is a fit with our strategy. For example; this could be an extension into a new geography, a new market, or a new application in our existing portfolio. Or it could be the adjacency whether technology and market provide some synergies to what we have today. Our key selection criteria remain leading market positions, unique technologies and near term accretion. Of course we are looking for businesses or technologies that are closely aligned with our core competencies of today as we’re trying to continue to develop as the top tier specialty chemicals and performance materials company. Let me now turn to the fourth quarter of 2011. The product mix and pricing management continues to benefit our results, and this is despite some softness we have experienced on the volume side. Although the short-term uncertainty may continue for the next quarter, I’m fully confident that our end markets remain fundamentally robust, and this is due to the many non-discretionary applications we serve, and the macro growth factors of middle class growth in emerging markets, the need for increased mobility and a drive for energy efficiency and the sustainability. During the quarter, we continue to actively manage our cash and balance sheet. We ramped up our strategic growth initiatives as seen by the capital expenditures of $114 million during this quarter; this should come down in the coming quarters to a more appropriate rate of $50 million to $60 million per quarter. We also carefully managed our inventory levels in light of the current uncertain environment. Even though this called to higher cost in the period, because of lower utilization levels, we think it was a prudent thing to do. We also took advantage of the low utilization rates to catch up in some efficiency maintenance activities that we have not been able to do earlier while the plants were running close to capacity during the last, the past few quarters. We also used some of our cash to repurchase approximately $1.6 million shares, which will be accretive to our EPS metrics in 2012. We strive to maintain a healthy balance sheet and we’re well positioned with that capacity in order to continue to fund growth initiatives in our existing businesses, potential strategic acquisitions, or to repurchase more shares. I will now turn this over to Eddie to discuss the fiscal year and fourth quarter results in more detail. Eddie?
Eduardo E. Cordeiro: Thank you, Patrick. For the fiscal year 2011, we saw significant improvement in our segment EBIT from continuing operations of $40 million excluding Supermetals as compared to fiscal 2010. This increase was driven by a $44 million or 32% improvement in Rubber Blacks and a $15 million or 12% improvement in the Performance Segment. Both of these were driven by increased margins from our value pricing and product mix initiatives. We also benefited from stronger volumes in our Performance Products business and improvement in our inkjet business. While we saw substantial improvement in business operating results, we experienced increased expenses from some unfavorable items in our unallocated cost. For fiscal 2011, these include a $17 million charge due to LIFO accounting related carbon black raw materials and unfavorable foreign currency impact of $8 million mainly related to unhedged currencies in emerging markets, most notably the Brazilian Real and other one-time costs totaling roughly $7 million; excluding these items operating results for fiscal 2011 were fundamentally stronger than the prior year. As I turn now to the fourth fiscal quarter; total segment EBIT from continuing operations was $79 million, which was $7 million higher than last year’s fourth quarter driven by higher pricing and improved product mix that more than offset lower volumes and higher costs. Sequentially, segment profit from continuing operations decreased by $27 million. The key factors in the decrease were somewhat lower volumes and higher fixed cost including the impact from lowering inventories and higher maintenance that Patrick mentioned that were partially offset by higher pricing and improved product mix. Higher fixed costs for approximately $20 million during the fourth quarter of which roughly half are not expected to repeat next quarter. In addition, we experienced higher general unallocated costs of $6 million driven principally by foreign exchange. Before I get into the specific segment results, I want to spend a few minutes outlining some segment changes we made this quarter. First; due to the announced divestiture of the Supermetals business, we have removed the Supermetals profits from continuing operations to discontinued operations. In our prior reporting, there were approximately $10 million of annual corporate costs allocated to the Supermetals business, which have been redistributed to our remaining businesses. At such, all prior periods have been recast for these changes. Second; we have made a couple of changes to the new business segment. First, we are now including our Elastomer Composites Business or CEC in the new business segment instead of the Rubber Blacks Business. We made this change to enable this business to have a stronger focus on the penetration of CEC in non-tire applications, which is mining military and other industrial rubber products. The second change we made this quarter was to move the reporting of our corporate development cost related to new technology efforts, which is roughly $10 million per year from the new business segment to unallocated corporate cost. This move is intended to create greater alignment for these activities as they not only focus on new technology but support the broader organization. All prior periods have been recast to reflect these changes as well. Finally we have moved the benefit or expense related to our LIFO accounting methodology from the Rubber Blacks Business and the Performance Segment to general unallocated expenses. We did this to insure better clarity of fundamental business profitability. In fiscal 2011, this was an expense of $17 million. Once again, all prior periods have also been recast to reflect this change. I will now discuss the details at the segment level beginning with the Rubber Blacks Business. In the Rubber Blacks Business, EBIT in the fourth quarter of 2011 increased by $13 million from the fourth quarter of 2010. The increase was driven principally by higher margins resulting from higher prices favorable product mix and energy efficiency investments. These positive factors more than offset the impact of higher fixed cost and lower global volumes. Sequentially, EBIT declined $19 million from the third fiscal quarter of 2011. This resulted from lower volumes and higher fixed costs. The decision to reduce our inventory levels towards lower plant utilization during the quarter, which unfavorably impacted our costs. We also performed additional maintenance during the quarter while certain plants were running at lower rates. Globally, our volumes declined moderately, that is by 3% to 4% both year-over-year and sequentially. These changes are relative to exceptionally strong demand levels we experienced late last year and earlier this year. While the reasons for lower volumes vary by region, there are three main drivers that explained the majority of the change. The first is that we have seen some moderate downstream softening across our system. The exception is Japan where the post-Tsunami recovery was strong during the fourth quarter. The second is we experienced some inventory corrections from our customers most prominently in North America and Europe. The third driver of lower volumes was the impact of our value pricing strategy. We are focused on capturing the highest margin sales opportunities and we’re making trade-offs between volume and price to optimize our overall portfolio. Today’s economic uncertainty will likely lead our customers to remain cautious with purchases and inventories in the near term. However, we remain confident in the longer term fundamental that drive demand for Rubber Blacks as we continue to manage the quarterly fluctuations that would become a normal part of doing business in the global economy. As we look ahead our value pricing initiative remains the top focus, especially as we negotiate some of our supply agreements for the next calendar year. In addition, the over $10 billion entire investments announced over the last 12 months supports our growth plans and our previously announced capacity expansion will supply products to our customers for this increasing demand. The first of the new Rubber Blacks capacity in Indonesia is expected to start up in the first fiscal quarter of 2012 and will enable volume growth in the back half of the year. In the Performance Segment, EBIT decreased by $2 million and $16 million as compared to the fourth quarter of 2010 and the third quarter of fiscal 2011 respectively. The decrease in both periods was driven principally by higher fixed costs and lower volumes partially offset by improved unit margins. As I described with Rubber Blacks the higher fixed cost were driven by our decision to reduce our inventory levels, which drove lower plant utilizations and additional maintenance performed during the quarter. In the Performance segment, we also experienced incremental cost associated with the start up of our new masterbatch capacity in Tianjin, China. In terms of volumes the sequential decrease in the Performance Products business was driven primarily by the impact of declining polymer prices on our volumes that are sold into plastics applications. And the impact of declining copper prices on our product sold into wire and cable applications. As we look ahead, we continue to see strength in the infrastructure sector in emerging markets and we have seen some demand stabilizing in plastics as polymer prices have leveled off in recent months. In addition to the new masterbatch capacity that came online in the fourth quarter, we are preparing for the first phase of our new fumed silica capacity in Jiangxi, China to start up in the first quarter of 2012. This capacity will be highly cost competitive and enable volume growth in the second half of the year. This quarter was the second strongest quarter for revenue and EBIT in history for our Specialty Fluids Segment only surpassed by an extremely strong fiscal fourth quarter of 2010. As we mentioned last quarter we saw activity levels improving resulting in EBIT of $12 million in the fourth fiscal quarter of ‘011. Well, EBIT in this segment remains lumpy quarter-to-quarter we continue to make progress with an increase in the number of jobs and a higher percentage of sales outside the North Sea in 2011 as compared to 2010. We continue to work on increasing our geographic presence and we see a solid pipeline of projects ahead of us. The new business segment had record sales in fiscal 2011 of $117 million, as we continue to further commercialize our unique products. EBIT in the fourth fiscal quarter was $2 million, which was a decrease of $2 million from the same period last year. As I mentioned earlier, we now include our CEC business in this segment. As such, the timing of revenue recognition of milestone achievements from our agreement with Mitchell and caused a decline for both the fourth quarter and the full year, as compared to the same periods of 2010. CEC remains on-track to achieve key tire and non-tire milestones, as we remain confident in the future of this business. The outlook for our new business segment and our new technology efforts is very promising. The first part of our inter-capacity increase is planned to start-up in the first fiscal quarter of 2012, which will support growth of our existing customers. In [ERICO] we continue to make great strides with strategic partners that we expect will continue to grow this business. Today, we are pleased to announce a new technology licensing agreement with XG Sciences related to graphing technology. XG Sciences is a private company that manufactures and sells carbon graphenes. The agreement enables Cabot to further develop and accelerate our graphene materials program by providing access to XG Sciences’ capabilities and materials. XG Sciences and Cabot will also work together to advance process technology for this new performance material. We ended the quarter with the cash balance of $286 million, which was a decrease of $58 million from June 30, 2011. The decrease in the cash balance was driven by capital expenditures of $114 million for growth initiatives, including capacity expansions and energy recovery technology installations and for sustaining an efficiency capital. We also repurchased approximately 1.6 million shares of stock or approximately $50 million. These uses of cash were partially offset by solid operating results and a reduction in net working capital of $17 million. We recorded a net tax provision of $2 million for the fourth quarter. This was net of $9 million of discrete tax benefits. Our quarterly operating tax rate on continuing operations for the fourth quarter was 25%, excluding discrete tax benefits and the impact of certain items. Our tax rate on discontinued operations for the fourth quarter was 39%. For fiscal 2012, we expect to spend approximately $200 million to $250 million in capital expenditures and we expect the continuing operations tax rate of 24% to 25%. I will now turn the call back over to Patrick.
Patrick M. Prevost: Thank you, Eddie. Let me summarize what we’ve talked about here today. First of all, I’m pleased with our 2011 performance, as we have confirmed a higher level of earnings at Cabot. We continue to show success in our value pricing initiative that has contributed to a strong 2011 and it will continue to contribute to our earnings growth in the future. I’m very confident in the strength of our end markets and the macro drivers. And then we continue to improve as the top-tier specialty chemicals company and are intensely focused on our growth agenda while working on multiple efficiency projects. And then finally, I’m confident on our ability to achieve our long-term objectives and I’m excited about the future of our company. Thank you very much for joining us today. And I will now turn the call back over for our question-and-answer session.
Operator: (Operator Instructions) And your first question is coming from the line of Saul Ludwig with NorthCoast Research. You may proceed, sir.
Saul Ludwig – NorthCoast Research: Hi, good afternoon everybody.
Eduardo E. Cordeiro: Good afternoon Saul.
Saul Ludwig – NorthCoast Research: Two questions here, the $3 that you earned, if you were to adjust that for adding back in special items and also subtracting out the – the discrete tax items, where would we be?
Eduardo E. Cordeiro: Let me look at this, I believe that we would be excluding Supermetals.
Patrick M. Prevost: We got a lot of moving parts here, just a second Saul.
Eduardo E. Cordeiro: I’m sorry Saul, could you ask the question again?
Saul Ludwig – NorthCoast Research: Yes, if you don’t count discrete tax items for the year that would be one phase and then you have what you call special items.
Eduardo E. Cordeiro: Yes.
Saul Ludwig – NorthCoast Research: Those two adjustments?
Eduardo E. Cordeiro: So from a continuing operations basis Saul?
Saul Ludwig – NorthCoast Research: Yes.
Eduardo E. Cordeiro: Excluding discrete tax items, adjusted EPS would be 241.
Saul Ludwig – NorthCoast Research: And does that include the…
Eduardo E. Cordeiro: Saul, to be clear that’s continuing operation, so it does not include any of the profitability from Supermetals.
Saul Ludwig – NorthCoast Research: Yes. But does it include your restructuring and other costs that – your special items?
Eduardo E. Cordeiro: Yes.
Saul Ludwig – NorthCoast Research: Okay.
Eduardo E. Cordeiro: No, it doesn’t.
Saul Ludwig – NorthCoast Research: Okay, we could (inaudible).
James A. Belmont: Saul, it’s Jim here, first starting with your $3, I think if you run through the numbers we’ve got certain items of $0.04, so you would have to adjust for those and then tax of $0.13, discrete tax of $0.13.
Saul Ludwig – NorthCoast Research: That’s in the fourth quarter and for the rest of the year?
James A. Belmont: For the year, okay. Sorry.
Erica McLaughlin: This is strong side, it’s $3 adjusted EPS, so that would be continuing operations and it exclude that certain items. If you want it to then exclude the discrete tax you would be at the 241 that Eddie was talking about.
Saul Ludwig – NorthCoast Research: Gotcha. Okay, I was getting answer to that question. And the second, I think Eddie you mentioned that the additional fixed cost in the fourth quarter were about $20 million. I think in press releases of ‘11 in Rubber Blacks and ’10 in Performance. And I think you said that in the first quarter they would be half as much. Is that because you’re going to continue to work off inventories and then after the first quarter to those additional cost go away?
Eduardo E. Cordeiro: So, I guess I will, when we look into the first quarter, it’s hard for us to know exactly what the inventory position will be. It will really depend on how the quarter plays out in terms of the volumes that we would expect to see both through the quarter and into the coming quarter. On the maintenance cost and the additional cost, we would expect that a substantial portion of those would go away, because we would not be doing the same number of turnarounds. But we do still have some maintenance that is expected throughout the first quarter that’s why we think that roughly half of that would go away.
Saul Ludwig – NorthCoast Research: That’s kind of why you give us some more [precious] commentary about the first quarter.
Eduardo E. Cordeiro: That’s correct.
Saul Ludwig – NorthCoast Research: And finally does that fixed cost of those higher costs in the first quarter include the startup cost on all new capacity additions that you’re going to have in the first quarter?
Eduardo E. Cordeiro: It included some of the startup cost that took place in the fourth quarter and going into the first quarter we don’t have any substantial startups taking place except that we would have a full quarters worth of cost. Then going in, beyond that we would have our fumed silica capacity coming on line in the second quarter and we might see some of those costs.
Patrick M. Prevost: And we also have the startup of our Indonesian carbon black operation in the second quarter.
Saul Ludwig – NorthCoast Research:
Patrick M. Prevost: I would say we don't normally give that level of detail. I would say they are in the single digit millions of dollars.
Saul Ludwig – NorthCoast Research: Great. Thank you very much.
Patrick M. Prevost: It’s my pleasure.
Operator: Your next question is coming from the line of Mr. John Roberts with Buckingham Research. You may proceed, sir.
John Roberts – Buckingham Research Group: Good afternoon.
Patrick M. Prevost: Good afternoon, John.
John Roberts – Buckingham Research Group: I was a little surprised that the CEC business was moved over to the new business segment, and the reason I was surprise is, I would have thought that on-road tires would eventually be a big part of CEC and therefore it fit pretty well with the core business.
Patrick M. Prevost: Right, John. So, we made a decision that was actually driven more by the non-tire activities of CEC. The tire business and the development of the relationship and the agreement with Michelin is on track and is going to continue to be managed by the core segment.
John Roberts – Buckingham Research Group: So will the CEC business eventually be split when the cash in the tire business eventually ramps up it would, on road tire truck and passenger will that be in moves – out of new business or be with the core? Or will you have tire based business and new business in tire based business in core.
Patrick M. Prevost: So in the early stages we will be reporting the performance of the business within the new business segment. As the tire business ramps up and we look at potentially building new plants and new capacity we’ll have to consider that as an option.
John Roberts – Buckingham Research Group: Okay. And then secondly, the tantalum transaction and the Supermetals transaction, the contingency payment is larger than the upfront payment. So, two years from now, it’s a one time lump and it’s a minimum of 225 no matter how the business does or is there a down side from 225 if we go through a recession and there is some weakness in the business and how much could the upside be actually if that business knocks the lights out?
Patrick M. Prevost: So we have two payments. We have a payment on closing which is $175 million and two years hence, we have a payment of $215 million dollars and those are guaranteed payments. And then we continue to participate in the value generation of the business to the tune of 50% through that two year period, with a minimum contribution to us guaranteed by the buyer of $11.5 million. So, none of these values that I’ve mentioned are going to be affected by how the business performs, except for the fact that we have some upside beyond the $11.5 million if the business performs well.
John Roberts – Buckingham Research Group: Over the next two years?
Patrick M. Prevost: Over the next two years, that is right.
John Roberts – Buckingham Research Group: Okay, thank you.
Operator: Your next question is coming from the line of Christopher Butler with Sidoti & Company. You may proceed sir.
Christopher Butler – Sidoti & Company: Hi, good afternoon, everyone.
Patrick M. Prevost: Good afternoon, Chris.
Christopher Butler – Sidoti & Company: Looking at some of your expansion plans here, maybe starting with inkjet with that opening in here in the first quarter. You know demand has been pretty good on the inkjet side, do you think that this is going to be a drag to earnings in the first quarter, is that part of your cautiousness or is that something that you think you can fill it up pretty quickly with good demand?
Patrick M. Prevost: We’re very pleased with the development of the Inkjet business, and a lot of it is actually been, because we’re seeing the inkjet technology actually starting to display some of the traditional offset printing technology at a lower cost. So, a lot of the commercial printers beyond the traditional office and home business is really taking off. And we believe that the plant that we’ll be starting up next year will be loaded extremely rapidly. So it is, it really is not going to be any of our concern with regard to the uncertain economic environment is not going to be linked to the inkjet business.
Christopher Butler – Sidoti & Company: And shifting gears over to Rubber Black, I know that you have some capacity plant here and as of rate now, volumes are a little bit soft, could you talk to the competitive environment that you’re facing right now here, when you expect volumes to begin to rebound and are all your competitors being good competitors right now?
Patrick M. Prevost: Well, the environment as soften as I mentioned earlier during my speech where we are seeing a number of things. And it is very difficult to be very precise, because the movements are differing depending on the geographies and the customers, but we are seeing a combination of factors here two which are similar out of our control I mean, one is, we're seeing customers doing inventory adjustments, because they are concerned about the developments ahead of them. We see some demand softness, which I think is related to prudence in terms of purchasing behaviors by either commercial or retail buyers. And then, finally, there is also something that we are doing, which is related to our pricing strategy. We’ve been very keen on putting price before volume and have decided to focus on the right products in the right markets at the right price, which means that we have deliberately given up some business to ensure that we maintain our pricing structure and that our earnings are supported. So, all of this has lead to a utilization rate in the carbon black business declining by several percentage points. We believe that we’re currently in the mid to upper 80s, but we're looking at in October, and I will talk a little about October here where we, although we are cautious about the quarter in which we are in right now, we haven't seen any further deterioration of the business at this stage, which makes us confident that we may have hit the bottom of the decline. And what we’re also seeing is that we, our customers most of our customers are running at fairly low inventories based on the input we’re getting from them. So, all in all cautious, but optimistic and we think that the business should be picking up again in the coming month.
Christopher Butler – Sidoti & Company: And just finally understanding that, that you have a lot of CapEx planned other than that your preferred use of cash with the closing of Supermetals here in front of us, would it be buying back shares or acquisition opportunity as you see them now?
Patrick M. Prevost: We are looking at the trade off, which we need to – the trade off logic that we need to apply to using this cash. I mean, we have a certain priority here. I mean the working capital and CapEx investments of growth and sustaining capital are of course, the top priorities. Then we of course need to maintain our dividend payments and share repurchases and acquisitions are two options where we’ll continue to monitor as we consider the value that these opportunities could bring to the shareholders. We’ve got a pretty clear, I would say, vision in terms of what acquisitions should be and how they would contribute to us and we will be very selective in the process of looking at them.
Christopher Butler – Sidoti & Company: I appreciate you time.
Patrick M. Prevost: Thank you, Chris.
Operator: Your next question is coming out of the line of Laurence Alexander with Jefferies. You may proceed sir.
Laurence Alexander – Jefferies & Co.: Good afternoon.
Patrick M. Prevost: Hello, Laurence.
Laurence Alexander – Jefferies & Co.: Hi. I guess, three questions unless if I can phrase this properly. First the $10 billion of tire capacity investment that you flagged, can you translate that into a potential market opportunity for carbon black?
Patrick M. Prevost: Let me ask Dave Miller to take this question.
David A. Miller: Laurence, I think there is, the 10 billion number is I think an indication of the optimism right now around the tire producers, how those investments will actually unfold and how many of them will go forward, I think we would really get at your point. The only thing I would say is that when we spoke at the Investor Day we talked about rubber black, global rubber black growth rate of around 4.5% and this only give us confidence in that number.
Laurence Alexander – Jefferies & Co.: So, just to be clear it doesn’t accelerate the growth rate, it just reinforces that the 4.5% is achievable?
David Miller: Yes.
Laurence Alexander – Jefferies & Co.: Thank you. Secondly if you look at the earnings hold so to speak created by selling Supermetals, with respect to your 450 long-term targets, how much of that whole do you think will be filled by the tailwind from energy efficiency investments and M&A, I mean either together or separately.
Patrick M. Prevost: Let me try to address this, Laurence. First of all as we look at the gap, well first of all we are very confident that the 450 is 450 and we will be achieving that. We’re still looking at the bridge that we showed at the Investor Day is the correct way to think about this, which is this 40% coming from capacity expansion, 30% from margin improvements and then 30% from new products and new businesses and the 30% from margin improvement is going to be a combination of energy efficiency and yield projects and pricing. Now, there is a lag on the energy, efficiency and yield projects because we’ve put a lot of effort into energy centers over the last few years. We are at a point now where we may have one or two left to implement in the most attractive sites in the system. And we are now in the phase over into the yield technology project and we’ve started investing in those during the course of 2011. And we will be continuing to introduce these over the coming years into our various plants in the system, but it will take some time and then to a certain degree way beyond 2014 to see the full benefit of the work that has been ongoing. So I think 2014 in way is only going to be showing a partial effect, a small part actually, of the yield benefits that we expect to see coming our way. So that’s for the yield and energy benefits. The other part relates to the strategic question of acquisitions and as we have looked at the 450 when we put this plan together, we had a sense that Supermetals may not be in the portfolio in the future and we are looking at the possibility of bridging that gap. Now, does that mean that we can achieve the 450 without any acquisition activity, perhaps not, but let me say that acquisition activities that we would consider would be small, there would be the possibility of doing a few small things that would be accretive to our EPS that would help in getting to the 450, but it is not essential to the end strategy of getting to that number in 2014.
Laurence Alexander – Jefferies & Co.: And then lastly to help us think about 2012; could you give some perspective on how the actions in this quarter might have improved your incremental margins; and with the new capacity you are bringing on stream, does that earnings tailwind from filling up that capacity more than offset the depreciation hit from the capacity turning on and that is flowing through the P&L?
Patrick M. Prevost: Well, we are certainly looking at getting some benefit that is not going to be linked to the capacity investments. So we have continued efficiency in pricing activities in motion that will provide some strong contribution in 2012, we also have of course and as I mentioned earlier the inkjet investment which will be ramped up very quickly and contributing within the year to the bottom line and then we have our fumed silica and carbon black investments which will start to contribute during the fiscal year. So we will not have to wait for 2013 to see them contributing.
Laurence Alexander – Jefferies & Co.: Thank you.
Patrick M. Prevost: Thank you.
Operator: Your next question is coming from the line of David Begleiter with Deutsche Bank. You may proceed.
David Begleiter – Deutsche Bank Securities: Thank you, good afternoon.
Patrick M. Prevost: Good afternoon, David.
David Begleiter – Deutsche Bank Securities: Patrick, on the value pricing what will the impact be do you think on your average rubber black price over a certain period of time?
Patrick M. Prevost: David, I’m sorry, I’m not going to be able to give you that information, because we really – we try to avoid providing that level of granularity and believe the competitive dynamics year.
David Begleiter – Deutsche Bank Securities: I understand. Can you comment at least on, how much business you’ve walked away from as part of the strategy or you’ve lost?
Patrick M. Prevost: I would say it’s small amount across most geographies.
David Begleiter – Deutsche Bank Securities: Very good. And just on specialty fluid given the lumpiness of the business, how do you think Q1 will compare versus Q4 from an EBIT perspective?
Patrick M. Prevost: I would love to know. So this is one of those businesses where we constantly remind our shareholders that the lumpiness is truly lumpy. And as you could see, we had a very strong fourth quarter. We have visibility around projects that are going to be using our material, what we don’t have visibility on is actually the timing or the extent of the use and we’re constantly being surprised by changes enacted upon by the owners of the wells or the service companies that we work with. So very difficult to predict, but I would say we like the business, it's a unique business. It has very, very high return on capital and we’re continuing to see increased usage and recognition of the benefit of the business around the world.
David Begleiter – Deutsche Bank Securities: And just lastly, Patrick; rubber black volumes, how much will it be down in Q1 versus Q4?
Patrick M. Prevost: I think as I mentioned earlier where we said that October, I mean we have three weeks almost four weeks into October and we’ve seen October actually tracking at roughly the fourth quarter level, so I would say that that’s a good way to think at least about October, it’s difficult to predict beyond that.
David Begleiter – Deutsche Bank Securities: Thank you very much.
Patrick M. Prevost: Thank you.
Operator: (Operator Instructions) Your next question is coming from the line of Jay Harris with Goldsmith & Harris. You may proceed, sir.
Jay Harris – Goldsmith & Harris: Let me compliment on providing a lot of details on an increasingly complex company.
Patrick M. Prevost: Thank you, Jay.
Jay Harris – Goldsmith & Harris: With respect to the percentages you just gave out earlier of how you intend to achieve the 2014 goals, should we consider the capacity expansion in inkjets, to be part of the 30% from new products or part of the capacity?
Patrick M. Prevost: I would attribute that to the new products and new business bucket.
Jay Harris – Goldsmith & Harris: Okay. Now, if you’re selling inks now to offset printers, formally offset printers. Are you getting a higher selling price per unit of sale, higher margins also because of the higher selling price.
Patrick M. Prevost: Let me ask Fred to take my question.
Friedrich von Gottberg: So, Jay, let me just clarify; first of all what we provide is what we call pigmented dispersions, so don’t come to the conclusion that we’re selling ink, this pigmented dispersion have been people using inks in commercial printing market. And when you asked the question about the cost and the margins; the important thing here is the total cost of ownership to the printers is significantly lower for inkjet. And yet, we all in that market able to maintain the margins that we’ve been able to achieve in the normal inkjet business. So it’s really the overall cost of ownership is declining for the printers. But we still have robust margins on how this version fails
Jay Harris – Goldsmith & Harris: Are you selling at a higher selling price in the inkjet home and office market per unit of volume?
Eduardo E. Cordeiro: So that gets into too much details Jay, I’m not going to go into that. But we’re selling at considerably higher margins you normally associate with offset printing market. Okay, and that’s because of the complexity of the technology and the value we bring in that market.
Jay Harris – Goldsmith & Harris: Well, what I’m trying to figure out is whether on the expanded capacity, which is probably more oriented to these newer applications of your segment dispersions, whether you’ll get more revenues for unit of capacity?
Eduardo E. Cordeiro: Jay these new capacity expansions are actually going to be used across the market, it’s going to be used in consumer printing and the office printing as well as commercial printing. So I think your assumptions should reflect the fact that they will reflect the business we had in the past.
Jay Harris – Goldsmith & Harris: All right. I’m learning slowly. On the tantalum and cesium lineup in Canada are these projects in separate areas are going forward will you consider the revenues on tantalum and offset to your cost of cesium, the way let say gold miners do.
Eduardo E. Cordeiro: Right, so the – so you’re correct, Jay the mining in Canada is actually one mine and the ore body is quasi the same it’s slightly different parts of the mine, but it all in all it’s the same mine and we will be looking at the tantalum opportunity in the sales of tantalum offsetting the season cost, which is the driving product made in that mine.
Jay Harris – Goldsmith & Harris: Is it safe to assume that if the demand for tantalum several years in the future shrinks a little that the additional cost burdens on CCM will be small relative to the margin structure of the will include business.
Eduardo E. Cordeiro: Not sure I could answer that question. What I do know is that we have a firm contract signed with the potential buyer of our Supermetals business and that actually includes a firm price for a three year period.
Jay Harris – Goldsmith & Harris: And beyond that you’ll be in the merchant markets?
Eduardo E. Cordeiro: I think beyond that we will decide how the market develops and how the relationship with this company again develops and we will consider our options now. One of the advantages of the tantalum mining in Canada is that it’s conflict free, which means that we will continue to have some additional value versus other options in the market.
Jay Harris – Goldsmith & Harris: Fair enough, carbon black is I didn’t do the exact numbers 55% to 60% of your revenues at least the core businesses. I’m assuming as you move towards your 2014 goal that the new business segments, will tend to grow much faster than the core segments. And there will be a margin shift upward because of that, is there anything wrong with those assumptions?
Patrick M. Prevost: No, I think you are right in the sense that the new business will be growing at a faster phase. But it’s all a relative measure because if you think about the carbon black business continuing to grow and if you look at the tire business, that’s 4.5%, 5%, 6% depending on the time periods and also special black is growing at 6% plus. And at that scale you will need to account for the difference in scale between the businesses. But clearly we are looking at a new business segment that has and continued to have very high growth rates in the 10%, 15%, 20% a year level.
Jay Harris – Goldsmith & Harris: And finally I wonder if we could get some parameters gross parameters around the CEC opportunities. If I took your last two quarters of carbon black and said you had a 25% market share in the world, that would put the size of the world demand for carbon black at about $8 billion, at some point in the past, I’ve heard that half of the carbon black business went in to natural rubber and the other one, other half went into synthetics. So that would be a $4 billion natural rubber opportunity; and if this business develop the way, we both hope it does, I presume per unit of carbon black, the revenue base goes considerably higher because you’ll be doing more value added than just selling carbon black. Can you add anything to that, or correct anything that I’ve said.
Patrick M. Prevost: Jay, I think, I’m little over my head in terms of the numbers, but I do think the total market numbers that you indicated are roughly in the zone. And we’re continuing to see this as a very robust GDP driven market that we’ll continue to develop strongly. We see our customers, the general rubber industry becoming more sophisticated on the technology side; we are going to see more applications that are going to use more sophisticated carbon black that is going to be playing in our favor. So we are looking at a very positive development in the general market, and we were looking at participating at a higher rate of growth than average, as we believe in the technology capabilities we have.
Jay Harris – Goldsmith & Harris: Hopefully to be continued. Thank you.
Patrick M. Prevost: Thank you.
Operator: Your next question is coming from the line of Chris Willis with Impala Asset Management. You may proceed sir.
Christopher Willis – Impala Asset Management, LLC: Good afternoon, thanks. Just had a quick question about pricing. Did you talk about price in terms of an general way in the Asian market place, maybe talk us specifically about China versus other parts of the region?
Patrick M. Prevost: Not sure, I understand the question, do you mind rephrasing it or…
Christopher Willis – Impala Asset Management, LLC.: Just trying to get a sense of, I mean not specifically Cabot products because I know you don’t want to comment on your own product line, but just how is pricing acting in Asia, in the rubber blacks business?
Patrick M. Prevost: I would say there is a lot of factors that affect pricing; there is about 250 different grades of carbon black and you can have multiple factors of difference in terms of price per ton or per kilo. And you have competitive factors that need to be taking into accounts as well. So I think the answer I would give you is that it’s very difficult to provide a general picture in addition to the fact that you have various raw materials effect that are different in nature in the various geographies, so the raw material for carbon black in China is of a very different in nature than the raw material that we use, for example, in the U.S. or in South East Asia. So I would say, I don't have a simple answer for you unfortunately.
Christopher Willis – Impala Asset Management, LLC: Is there a general trend overtime, are you able to – you talk a lot about value pricing on the call, which is great, and is there an opportunity for you to improve realization across the broad group of products in Asia. The global markets fairly tight of carbon blacks as value in the product line is an opportunity to bring more value to your bottom line at Asia as well in driving at them. And I know there is some pretty strong price initiatives in the industry in Europe and the US right now. I'm just curious trying to get a comment for what’s happening in Asia particularly given that’s one of the faster growing markets recognized and that’s actually where some of the excess capacity is, but just trying to get a general tone for that marketplace from a pricing prospective.
Patrick M. Prevost: Yeah. I think what I could say to that is that, we’re continuing to work very hard on getting the value for the product and services we bring to our customers and we’ll be ready to walk away from business if we think that the balance is not appropriate and some of that has happened during the fourth quarter albeit at low percentage levels. But clearly, we’re continuing to think that pricing is a lever that we can and will continue to apply.
Christopher Willis – Impala Asset Management, LLC: Great. Thanks, appreciate it.
Patrick M. Prevost: Thank you.
Operator: Your next question is a follow up from the line of Saul Ludwig with NorthCoast Research. Go ahead, sir.
Saul Ludwig – Northcoast Research: Two quickies, your volume and fumed metal oxides has been very weak, you were down 8% in the quarter and yet you’re bringing on a whole new plant. Is there any concern about the ability to utilize that capacity or might the actual start up of that plant be differed until the market firms up and then, just to give you the second question is unrelated. It’s encouraging to see you spend $50 million for share buyback that was something new we’ve never seen that before, is that sort of a one short deal or would you expect that the share buybacks might continue throughout this year at whatever pace you decide to do, but it sounds like share buybacks are now entering into your thinking in terms of shareholder value creation?
Patrick M. Prevost: So, let me take the share buyback question first, and then, I’ll ask Sean to pick, take the FMO question. We’ve always looked at share buybacks as an option to create value for our shareholders and in the past few years, we did not think that there the optionality was a good one, essentially also because we had use of cash for growth in the company and we had some working capital management issues that we needed to take care of. More recently, we’ve seen with our robust balance sheet and with the weakening stock market, we felt that there were that the possibility to buyback shares and the value of that buyback increased. In general, I think our philosophy is that we would be trying to offset dilution as kind of a fundamental way of looking at share buybacks and we haven't done that in a while. But as we look forward, we will be continuing to look at that option in a trade-off versus other options to deploy our cash. And we still have currently about $2.5 million shares remaining under our board authorization and we’ll be looking at options going forward. So that's the answer on the share buyback, and I’ll ask Sean to pick up on FMO please.
Sean D. Keohane: Hi, Saul, a couple of comments to give a little color to how we're thinking about the FMO business. Over the last couple of years, two years, really we’ve been pursuing a strategy that's been emphasizing pricing and product mix over absolute volume and this has yielded higher total performance for this business, so very conscious choice and pleased with the outcomes of those decisions. Now, looking forward, we’re very optimistic about the startup of the Jiangxi capacity, it is highly competitive capacity. It will strengthen our overall global competitive position and will give us flexibility to find the optimal balance between price and volume as we go forward, so very optimistic. As you know, the China market is the largest and fastest growing market now in terms of silicone, so we’re quite optimistic.
Saul Ludwig – Northcoast Research: Great. Thank you, both very much.
Patrick M. Prevost: Thank you.
Operator: And with no further questions in queue, I’d like to hand the call back to Mr. Patrick Prevost, President and CEO for closing remarks.
Patrick M. Prevost: Thank you very much. Thank you for attending here, the call this afternoon. We’re very pleased with where we are today. We believe that the strong execution of strategy has resulted in the fiscal 2011 quarter that we have delivered, and I’m pleased with our performance, excited about the future and we’re going to continue to work towards the long-term strategic objectives that we’ve set for ourselves and I’m looking forward to speaking with you again next quarter. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today’s call. This does conclude the presentation. You may now disconnect. Have a good day.